Operator: Good morning, and welcome to the Polished Third Quarter Earnings Conference Call. Please note that certain statements made during the call constitute forward-looking statements made pursuant to the safe harbor provisions of the Private Securities Litigation Act of 1995 as amended. Such forward-looking statements are subject to both known and unknown risks and uncertainties that could cause actual results to differ materially from such statements. These risks and uncertainties are described in the company's financial statement, press release and its filings with the SEC. The forward-looking statements today are made as of the date of this call, and the company does not undertake any obligation to update the forward-looking statements. I will now turn the call over to Polished's CEO, Rick Bunka and Polished's CFO, Bob Barry.
John Bunka: Good morning, everyone. Thank you for joining today's call and for your investment in Polished. Before I hand the call off to Bob Barry to discuss the third quarter results, I'd like to give some context on the performance so far this year and what we expect for the remainder of the year. As we've noted in the recent public filings, 2023 has been a fix and rebuild year. In the third quarter, our team remained focused on stabilizing the business and strengthening the foundation. While we saw net sales decline in the third quarter, we delivered enhanced gross profit margins compared to the prior year period, indicating our emphasis on profitability is delivering its intended results. The net sales decline similar to what we experienced in the second quarter is largely due to macroeconomic headwinds, including inflation and an increase in interest rates, which affects the mass market, in particular. Additionally, we continued to see declines in the luxury market, particularly around the remodeling business. These two categories are the main drivers of performance at Polished and are both experiencing similar headwinds, which has contributed to reduced volume. While Black Friday and Holiday Shopping should boost volumes in the remainder of the year, we do expect continued top line pressure on revenue. Consequently, we are adjusting downward our full year outlook for net sales to be between $330 million and $350 million. We continue to expect low-single digit adjusted EBITDA margins for 2023. For the remainder of the year, we are focused on continuing to build a foundation for stronger profitability and for sustained cash flow growth in 2024 and beyond. We've already taken several actions to achieve these goals, including we recently amended our loan agreement with the bank group, extending it through November 30, 2024. As we've noted in the past, we continue to work with an independent financial advisor to explore our options for replacing the loan as we look to maintain optimal flexibility and liquidity for the business. We are taking concrete steps to improve efficiency and profitability through reductions in force and consolidation of operations, including the closing of one of our warehouses in this past quarter, and the imminent relocation into a new warehouse, increasing efficiency and warehouse operations and reduction of product damage. We are currently working with a recognized digital advertising agency to help us improve our return on investment from advertising spend. And we believe, once completed, these results will -- these will result in more sales for every dollar we spend on advertising expense. We are also implementing new financing initiatives for our customers, including new private label branded credit card and leasing alternatives for customers who do not qualify for conventional credit. We've also added a new payment processor, which will provide additional liquidity. We've continued to emphasize high-margin luxury products to complement our mass market appliances. We've become a dealer for high-margin small appliances manufacturers and have continued to promote them on our website. Additionally, we've begun actively negotiating improved terms with several of our largest vendors. I'd now like to now pass the call over to Bob Barry to discuss financial results for the second quarter. Bob?
Robert Barry: Thanks, Rick, and good morning. For the quarter, net product sales were $77.8 million, that compares to $143.6 million in the third quarter of 2022. Gross profit for the quarter was $15.3 million with a margin of 19.7%. And that compares to $21.1 million with a 14.7% margin for the third quarter of '22. The 500 basis point improvement in gross margin is a result of our continued emphasis on improving profitability versus pursuing revenue growth at any cost. Operating expenses for the quarter were approximately $21.3 million, that compares to $32 million for the third quarter of 2022. The largest expense items for the quarter included personnel costs of $5.9 million compared to $8.3 million for the same quarter in the prior year, advertising costs of $5.1 million compared to $7.5 million in the prior period, bank and credit card fees of $2.6 million compared to $5.9 million and G&A expenses of $6.7 million compared to $7.3 million in the prior year. Net loss for the quarter was $6.6 million or $3.14 per diluted common share compared to a loss of $5.2 million or $2.46 per diluted common share for the third quarter of 2022. Adjusted EBITDA for the quarter was minus $0.8 million. I'll now hand the call back to the operator to open the line for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Nataly Vukobrat of Parfico. Please go ahead.
Nataly Vukobrat: Thank you for taking our questions and for your efforts in stabilizing the business. My first question regards sales. In the third quarter, sales were down 46%, while the U.S. core appliances industry has seen a year-over-year improvement with solid replacement demands implying that polished.com has been losing market share. Can you please share some color on the sales performance and overall competitive dynamics? Thank you.
John Bunka: Well, yes, there has been a shift toward replacement within the industry and our decline, we were heavily dependent in the prior year on the -- and had taken great advantage of the growth in both original construction and the housing market as well as remodel. Those two areas are where we've taken the steepest decline and the shift toward replacement has been an emergence that we are seeking to take advantage of, but we are impairing sales results as a result of that shift. So that's an accurate statement.
Operator: [Operator Instructions] As there are no other questions at this time. This concludes our question-and-answer session. I would like to turn the conference back over to Rick Bunka for closing remarks.
John Bunka: Thank you all for joining today's earnings release and call. We appreciate your continued support. Have a nice day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.